Operator: Good morning and thank you for holding. Welcome to the Conn's, Inc. Conference Call to discuss Earnings for the Fiscal Quarter ended January 31, 2020. My name is Michelle and I'll be your operator today. During the presentation, all participants will be in a listen-only mode. After the speakers’ remarks, you will be invited to participate in a question-and-answer session. As a reminder, this conference call is being recorded. The company's earnings release dated April 9, 2020 was distributed before market opened this morning and can be accessed via the company's Investor Relations website at ir.conns.com. During today's call, management will discuss, among other financial performance measures, adjusted EBITDA, adjusted net income, and adjusted earnings per diluted share. Please refer to the company's earnings release that was issued today for a reconciliation of these non-GAAP measures to their most comparable GAAP measures. I must remind you that some of the statements made in this call are forward-looking statements within the meaning of the federal securities laws. These forward-looking statements represent the company's present expectations or beliefs concerning future events. The company cautions that such statements are necessarily based on certain assumptions, which are subject to risks and uncertainties, which could cause actual results to differ materially from those indicated today. Your speakers today are Norm Miller, the company's CEO; and Lee Wright, the company's COO; and George Bchara, the company's CFO. I would now like to turn the conference call over to Mr. Miller. Please go ahead, sir.
Norm Miller: Good morning and welcome to Conn's fourth quarter of fiscal year 2020 earnings conference call. I want to start today's call by reviewing the rapidly evolving COVID-19 crisis before turning the call over to Lee and George, who will provide additional details on the quarter and our response to the current economic and business landscape as a result of the COVID-19 situation. The COVID-19 health crisis has had a significant impact on our daily lives, and our hearts go out to anyone who has been impacted by the illness. We are taking decisive actions to respond to the near-term challenges that have occurred since the crisis began. The health and safety of our customers and employees has always been our top priority. We are closely monitoring federal and state guidelines to ensure we are doing our part in helping prevent the spread of the illness, while focusing on keeping our stores, distribution centers, and service operations open to provide essential products and services that help our customers adjust to in-home activities and lifestyle.  As of today, nearly all our showrooms are open, and I am pleased that we can continue supporting our communities by offering necessary home goods and affordable financing programs. We are in regular contact with our state and local officials to ensure our stores remain open to provide essential products such as refrigerators, freezers, washers, dryers, air conditioners, and home office products.  Critical to our response to the COVID-19 crisis are the actions we have taken over these past four years to improve our balance sheet and credit operation, which provides us greater flexibility to successfully operate our business through this period of uncertainty. For over a 130 years, Conn's has provided essential products and services that improve the lifestyles of our local communities while supporting customers in good and bad times through our affordable financing option. In fact, our credit business started over 50 years ago to help Texas oil workers finance essential products for their homes during difficult market cycles. We are proud of the strong relationships we established during challenging periods as our products, financing options, and support help our customers recover and our communities rebuild. I'm extremely pleased and grateful with how our team has responded. I want to thank all our associates for their dedication through these uncertain times. Demonstrating our commitment to our associates, I'm pleased to announce we have temporarily increased wages by $2 an hour to support our frontline employees through this crisis. In addition, we are temporarily reducing the salaries and compensation for certain business leaders. This includes a salary reduction of 20% for our named executives and Section 16 officers and a 25% reduction in my salary.  Throughout our history, Conn's business model has demonstrated its resiliency. While our fourth quarter credit and retail results were disappointing, our near-term objective is focused on navigating the unprecedented challenges created by the COVID-19 crisis. We remain committed to helping our customers, employees, and communities in this time of need. Our experienced leadership team, profitable operating model, and strong balance sheet provides us with the necessary platform and resources to respond to this challenging period. So with this overview, let me turn the call over to Lee, who will provide more details on our fourth quarter operating results and the specific actions we are taking to respond to the COVID-19 crisis. 
Lee Wright: Thanks, Norm. Our fourth quarter financial results did not meet our expectations and we are disappointed with the performance of our credit and retail segments. During the fourth quarter, we experienced declining credit trends associated with higher risk vintages, an increase in new customers, and difficulties in collection efforts related to the implementation of our new loan management system. As a result, we experienced an increase in first payment defaults, 60 plus day delinquencies, and re-aged balances. In addition, higher charge-offs during the fourth quarter impacted our credit spread, which declined to 790 basis points for the fourth quarter of fiscal year 2020 compared to 890 basis points for the fourth quarter last fiscal year. In late March, John Davis, President of Credit & Collections resigned from the company, and I've temporarily assumed his responsibilities until a replacement is found. The difficulties in collection efforts associated with the loan management system are largely behind us, and we are focused on improving underwriting and pursuing additional programs to enhance our yield.  Looking at our fourth quarter retail results, we believe tighter underwriting standards that we announced during the third quarter impacted same-store sales by approximately 3% to 4% in the fourth quarter. The challenging market conditions within our consumer electronics category, we mentioned on our last call, also impacted same-store sales by approximately 6% to 7%. In addition, we continue to see some residual impact from Hurricane Harvey during the fourth quarter, as well as the continued impact the new store cannibalization has had on same-store sales. Offsetting some of the retail weakness we experienced in the fourth quarter were strong sales of appliances, accelerating e-commerce sales, and the contribution of new stores. I'm encouraged that we were able to maintain retail gross margin above 40% for the fourth quarter and full year despite lower retail sales.  While our fourth quarter retail and credit results are disappointing, we remain confident in our long-term opportunities. We are committed to the previous growth strategies we’d communicated over the past several quarters, which includes growing our store base, increasing our e-commerce sales, expanding our product categories, and leveraging our credit offerings. However, over the near-term, we are adjusting our priorities to respond to the COVID-19 crisis.  So, let's look at the actions we are taking in more detail. We entered this challenging period in a strong financial position. As our near-term priorities adjust, we revised our fiscal year 2021 store expansion plans and now plan on opening between 6 and 8 showrooms this fiscal year, which is a reduction from 16 to 18 showrooms we previously announced. We've also decided to delay any new showrooms associated with our future Florida distribution center to next fiscal year. From an operational standpoint, in-store shopping hours have been temporarily reduced across our store base to provide flexibility for our employees and to allow more time for additional cleaning within our showrooms. We are closely monitoring CDC and federal guidelines promoting a safe and healthy environment for our customers and employees. In addition, as required in certain jurisdictions, we are limiting the number of customers in our showrooms at one time and practicing social distancing. Meanwhile, the investment we made throughout fiscal 2020 through our e-commerce, digital and mobile platforms have played an important role in our ability to interact with customers more effectively, while improving our online user experience and providing customers with important updates and account access 24-hours a day. As customers adapt the in-home lifestyles, we have recently experienced an increase in demand for essential home appliances and home office products, which have partially offset weaker demand for more discretionary categories like furniture and mattress.  From a credit perspective, the lesson we have learned from past disasters has provided us an operating framework to quickly respond to customers’ operational and performance issues. For example, we utilize third-party collection companies with assets around the world, which will enable us to quickly increase capacity as the volume of delinquencies rise. In addition, many of our internal collectors and third-party resources can work remotely which enables us to continue to operate this important function.  To control delinquencies and charge-offs, we have implemented a series of underwriting changes starting in March to remove higher risk applicants, selectively increased down payments and lowered credit limit to improve performance of loans originated during this period. The investments we've made in our credit platform allows us to actively monitor portfolio trends, and we will continue to evaluate further underwriting changes to manage risk based on performance indicators.  Finally, we have launched a number of payment relief programs to help customers through the hardships they are facing as a result of the COVID-19 crisis.  To conclude my prepared remarks, while we made a lot of progress during fiscal year 2020 and saw our full-year credit spread expand to 920 basis points, we experienced challenging retail and credit results during the fourth quarter, and we are disappointed with our recent performance. We believe our experienced leadership team, profitable operating model and strong balance sheet, as well as the essential retail and credit products we provide customers will support us through the unprecedented challenges the COVID-19 health crisis has created. We are working hard to support our employees, customers and communities throughout this period, and I look forward to updating investors on the progress we’re making as we respond to the COVID-19 pandemic and improve our credit and retail performance.  Before I turn the call over to George, I also want to thank our 4,100 associates across the 14 States in which we operate. On behalf of the entire leadership team, thank you for your hard work, service and dedication through this challenging period. Now let me turn the call over to George to review our financial performance.
George Bchara: Thanks, Lee. On a consolidated basis, revenues were $413 million for the fourth quarter of this fiscal year, representing a 4.6% decline from the same period last fiscal year. GAAP net income was $0.17 per diluted share, compared to $0.91 per diluted share for the fourth quarter of fiscal year 2019. On a non-GAAP basis, adjusting for certain charges and credits, net income for the fourth quarter of fiscal year 2020 was $0.20 per diluted share, compared to $0.96 per diluted share for the same period last fiscal year.  Adjusted EBITDA was $35.8 million or 8.7% of total revenues for the fourth quarter, compared to $67.7 million or 15.6% of total revenues for the same period last fiscal year. Reconciliations of GAAP to non-GAAP financial measures are available on our fourth quarter earnings press release that was issued this morning. Looking at our retail segment in more detail, total retail revenues for the fourth quarter were $315.3 million, a 7% decline from the same period last fiscal year. Retail segment operating income was $35.7 million, compared to $54.7 million for the same period last fiscal year. The decline in retail segment profitability was primarily a result of lower retail sales and higher SG&A expenses associated with a greater number of new showrooms and additional investments we've made to support our growth. Turning to the credit segment, finance charges and other revenues were $97.7 million, up 3.8% from the same period last fiscal year. The credit segment loss before taxes was $28.6 million, compared to a loss before taxes of $16.2 million for the same period last fiscal year. The larger segment loss -- credit statement loss was primarily due to $13.9 million year-over-year increase in the provision for bad debt in the credit segment as a result of an increase in the incurred loss rate as well as higher first payment defaults and delinquency rates.  With this overview on our fourth quarter financial results, I want to discuss our current financial situation and the actions we have taken in response to the COVID-19 pandemic. We entered this challenging period in a strong financial position with diverse funding sources and ample liquidity. We have more than two years until our high yield notes or revolving credit facility mature, and we've recently completed a $486 million ABS transaction in November. As a precautionary measure to maintain financial flexibility, in mid-March, we borrowed an additional $275 million under our existing revolving credit facility. And as of today's call, we have over $270 million of cash on our balance sheet. We also have approximately $120 million of availability under our revolving credit facility, bringing our total cash and immediately available liquidity to approximately $400 million as of today's call. We believe that our available cash and liquidity and history of accessing the capital markets, give us a distinct advantage as we navigate this uncertain economic environment.  From an investment and operational perspective, we are delaying or eliminating certain non-essential capital expenditures, more aggressively managing working capital levels and cutting SG&A expenses. For example, related to capital expenditures, we have significantly reduced the number of new showrooms we planned to open this fiscal year, including delaying our Florida expansion. It is important to note that our stores remain profitable even with significantly lower revenue as a result of the variable cost structure of our retail stores and high retail gross margins. On average, our showrooms breakeven with a reduction in retail revenue of nearly 60% from fiscal year 2020 levels. We believe that our retail operating model provides us with additional flexibility to navigate challenging economic periods, including most recently during the 2008-2009 recession. We also expect to benefit from several provisions in the recently passed CARES Act, including accelerating certain tax deductions, utilizing net operating loss carry-backs at higher tax prices and delaying the payment of certain payroll taxes. In addition, the CARES Act has a number of unemployment and employer benefits that will help provide temporary relief to many of our customers. As you know -- as you can see in the press release that was issued this morning, we have revised our unaudited financial results for the third quarter of fiscal year 2020 to reflect the correction of an error. This error has been updated in our historical financial results and did not impact full year financial results for the year ended January 31, 2020. Before providing the final comments on CECL, I want to mention that like many other retailers, and given the near-term uncertainty surrounding COVID-19, we are suspending our quarterly financial guidance. As we have communicated over the last couple of quarters, we were required to adopt CECL, the current expected credit loss accounting standard on February 1, 2020. We currently estimate that adopting CECL will increase our total allowance for bad debt by 40% to 50% based on its portfolio composition and economic outlook as of February 1, 2020. As a reminder, CECL is simply an accounting change and does not affect the cash flow or fundamental economics of our business. However, we believe that the combination of adopting CECL and the economic uncertainty surrounding COVID-19 will increase the variability of our provision for bad debts in the future and could impact quarterly segment profitability as a result of higher provisions for bad debt.  With this overview, Norm, Lee and I are happy to take your questions. Operator, please open the call up to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Rick Nelson with Stephens. Please proceed with your question.
Rick Nelson : One thing I know you don’t have first quarter guidance, but if you could speak to anything that you were sort of seeing we’re two weeks to the quarter end in terms of sales, the credit book, delinquencies before and after the COVID outbreak?
Norm Miller: Sure, Rick. I'll start on the same-store sales trends and then Lee can touch on the credit side of the house. On the same-store sales, prior to the coronavirus hitting, we were seeing same- store sales trends -- had improved in the fourth quarter trend. Once the virus hit, we saw a modest improvement from that trend initially in the same-store sales, but a significant mix shift away from more discretionary purchases, if you will, furniture and mattresses and towards more essential purchases, appliances and home office products.  And in the last several weeks, I will say it's been fairly volatile, but we've seen same-store sales settle in at approximately down 30% driven by several factors. Obviously, as we mentioned, our reduced hours in our showrooms, about 60% of our stores have limited occupancy of how many customers and/or associates can be in our stores at any one time. Also, as we mentioned, it was about a month ago we started a variety of credit tightening efforts in anticipation of credit pressure with the coronavirus, and we're estimating that impacted at about 15% to 16% of sales, at least the underwriting changes that we've done at this point. We continue to examine the portfolio on a daily basis to determine and be comfortable with where our underwriting is at. The customer traffic in the stores are down slightly more than the same-store sales trends as customers are coming into the stores from an intent to purchase standpoint, probably at a higher level than it typically is. So, we're converting more of the customers that come in. Applications online are up dramatically year-over-year by 30% plus.  I will say the dynamics are changing by the day and by the week. As I said earlier, a high degree of variability, for example, the shopping patterns are very, very different than what they were pre-coronavirus. During the week, we get much heavier traffic than we do on the weekend. The weekend, the traffic has dropped off dramatically pre-coronavirus and stronger patterns during the week relatively speaking. So, it's a very dynamic environment; one that we're obviously monitoring on a regular basis. We feel fortunate that 95% of our stores are open and able to operate and our associates have responded. I can't stress enough in such a manner to be able to safely serve our customers, take care of our customers with these essential products that we provide our communities and the way they've responded has been pretty remarkable and a testament to the quality of the workforce that we have. So, do you want to touch on the credit side, Lee?
Lee Wright: Yes, Rick, on the credit side, obviously, as you saw, we increased our provision because our allowance was increased for the fourth quarter due to what we’re seeing in the portfolio for future charge-offs that we believe were going to roll through. So, we saw that.  I will tell you we were having an excellent tax season. The economy was humming along prior to the complete outbreak of the COVID-19 pandemic. Obviously, post many of the sheltering places and basically shut down of the economy, we saw collections activity decrease. I will tell you that started to come back. We’re pleased with the CARES Act from the stimulus programs that’s gone out, and the unemployment benefit.  So, as Norm said, one of the benefits of having our showrooms open is that 25% to 30% of our customers have historically made payments in our showrooms, so that's enabled us to continue that. And obviously from a collection standpoint, we have people not only in our call centers still working, but we also have work from home capabilities. So, we're actively continuing to collect and we have seen from a collection standpoint things stabilize a bit, and we're certainly very focused on making sure that we're collecting from our portfolio during this time period.
Norm Miller: Yes. Because of our diverse, both in-house and third-party collection groups and the ability from a flexibility standpoint to be able to work from home, about 50% of our collectors are working from home now outside of our showrooms, and then we've increased collection efforts with the third-party as well. We feel confident right now at the turns we’re getting and the connects we're getting with customers, the issue is then having the cash and how that plays out in subsequent months makes it very difficult to predict what will happen with the portfolio. But suffice to say, we understand how critical it is to stay connected with our customers, the recency from a payment standpoint, which is a big reason why we want the stores open not just to be able to deliver those essential products, but also for those customers to be able to make payments, which they are continuing to do at a significant level in the stores, but very difficult to predict what will happen with the portfolio going forward with the number of unknowns we have.
Rick Nelson: Thanks for that color. If you could speak to the ABS market, how that's looking, and when you anticipate to go to market? Again, I know you have just completed a deal in November, but the go-forward potential? 
George Bchara: Hey, Rick. This is George. Let me start by saying that as of today we have approximately $400 million of cash and immediately available liquidity on our balance sheet. To put that in context, when we drew down on the ABL about a month ago, we had just over $400 million. So, over the last month, we’ve essentially used relatively little cash and available liquidity. So, to answer your question specifically, a few weeks ago, the ABS market was dried up completely. Now we're starting to see the prime auto dealers get done and more activities in the ABS market. But as we sit here today, with $400 million of cash and available liquidity on our balance sheet, we've got enough liquidity to last us for the near term.
Rick Nelson: And finally, kind of restatement, is that kind of catch-up due to the accounting change or is there a going forward implication that we should think about for current year?
George Bchara: No. It's just a flip between Q3 and Q4.
Operator: Thank you. Our next question comes from the line of Kyle Joseph from Jefferies. Please proceed with your question.
Kyle Joseph: Thanks for answering my questions and for all of the color you’ve provided, given the volatility we’re seeing recently. First, George, just going back to the CECL, we’ve seen some headlines about potential elite related to CECL. I think it ties more to banks. Are there any potential options to delay CECL or is it going to go into effect kind of consistent with the color you gave us last quarter?
George Bchara: No changes. Unfortunately, the language in the CARES Act was specific to depository institutions and there were some conversations about this being brought in. But as we sit here today, our intention is to -- about CECL to be consistent with the requirements in the first quarter.
Kyle Joseph: And then just one follow up for me related to see credit in the post CECL world of -- can you give us a sense for -- I know you guys mentioned you're still collecting but what options your customers have that have been impacted? Should we anticipate sort of the re-aged balance increasing kind of similar to what we saw post Harvey and just give us a sense for how you see that impacting re-aged balances and then as well as the balance sheet and the P&L?
Lee Wright: Hey, Kyle. It's Lee. So obviously, it's still early. We do have relief programs for our customers. Obviously, we want to balance the fact that these are ongoing customers with us we want to show compassion during a time period of great financial stress in their lives at the same point. Obviously, we've extended credit and need to get paid. So we do have relief programs for our customers. And similar, as you said to what we did in Harvey, where we did a goodwill to relief program.  That being said, people do have to reach out to us directly. It's not an automatic granting to every single person. We want to make sure that they call us, we understand their exact circumstances and what's happening. But we do have programs for them to provide them relief. How that's going to roll through? Obviously, we've got to watch very carefully. It's still pretty early for us to see what transpires there. But clearly is what Norm talked about, we're very focused on collections. We understand the importance of it and we have a lot of different ways and means that they reach some of our customers and still get some cash but also show the appropriate compassion to them.
Norm Miller: And in addition to that Kyle, we also have some programs where the customers are paying a certain amount of cash. And in an effort to keep that recently with them, we are giving them some benefits from a concession standpoint to ensure that we're staying connected there, and keeping that cash flowing in. So, again, all of these as Lee mentioned are driven by the customer. We're not doing anything unilateral across the portfolio and we will track this going forward both COVID forbearance programs and not -- to be able to hopefully give some color on what's happening with the forbearance program, part of the portfolio as well as the remainder of the portfolio.
Kyle Joseph: One last one for me, too. Given COVID and the economic disruption we’ve seen and going back to the last financial downturn, can you get a sense for how the financing options change and sort of penetration rate of the third-party financial firms you guys use -- or third-party financing firms you guys use?
Lee Wright: Hey, Kyle. It's Lee. Well, look clearly one of the benefits that we have as a retailer is the fact that we have a broad spectrum of financing options for our customers. If you want to pay cash for credit, that's fantastic, that’s where we have Synchrony with some best-in-class with no interest financing options to our higher credit score customers and then obviously we have our core Conn’s credit programs for our customers. And then to the extent that it makes more sense, there's a lease-to-own option. So unlike a lot of other retailers, we have the full spectrum. I will tell you what we have seen and what we talked about in our investor decks and other investor meetings is, during the time of stress what we do see is we see customers start to fall somewhat. So to the extent that they may have been able to use cash or credit or use alternative means of financing, they may fall in our bucket. So, we have the ability to provide them Conn’s financing or if they fall out of us, we've got lease-to-own. So, what we have seen and Norm mentioned a number of applications have come to us via web, has been up a very large amount. So, we've seen people looking for credit, obviously, they understand the importance of credit and that's one of the beauties of our retail and credit model put together. 
Norm Miller: And as you know, Kyle's being in the credit space for a while and understand that -- as in 2008, 2009 was the subprime market, you see a tightening at the higher end. So, that actually creates ultimately as you work through the environment, typically some sales opportunities start to fall into our core Conn’s credit. But as Lee mentioned we -- having credit options across the spectrum enables us ultimately to serve those customers wherever they fall in the spectrum.
Operator: Thank you. Our next question comes from the line of Brad Thomas with KeyBanc Capital Markets. Please proceed with your question.
Brad Thomas : I wanted to just follow-up on some of the recent trends and the tightening. So just to make sure I heard you right. Norm, I think you said that it has settled out closer to 30% down more recently on same-store sales. I think you said that you saw changes in underwriting maybe hurting you right now by 15% to 16% on same-store sales. Did I hear that right? 
Norm Miller: You did. Those are the correct numbers as we sit here today. 
Brad Thomas : Okay, great. And so, just as we're thinking about how the rest of the year plays out, if the current underwriting setup has you running at a 15% to 16% headwind, just can you help us think about how dynamic that underwriting scorecard might be? What might make you change things back to where they used to be, so that some of that headwind goes away? I am just trying to separate out how much your same-store sales might be hit by traffic issues and social distancing issues, versus some of the changes in underwriting you all are putting into place? 
Norm Miller: What I would say, Brad is, I wish I could give you -- I wish we had more concrete information we could give you on projecting what's going to happen. I will tell you, we looked at -- we're looking at the underwriting, our first payment to fall, what’s happening early delinquency trends in the bucket, on literally a daily basis, cash collected. So, those changes that we've done that 15% to 16%, they've been in three or four different iterations where we’ve done a variety of things, credit limit, higher risk credit band. And we are doing that based on what we're seeing with the portfolio on a daily basis. So, as we mentioned, we've seen the portfolio come in a more stable place here recently from a collection standpoint. So, that gives us encouragement with some of the stimulus things that are going on. And frankly, as we connect with our customers, and they understand the importance that we provide, because, in essence, although we're not a line of credit, customers understand from doing business with us through years, that when they pay us and they're in good stead with us, they have the ability to come back and borrow from us in the future for these essential products and services in their home. So, keeping that connectivity with them and the importance for the customer to continue to pay us so that we can continue to serve them in the future are important talk-off points for our collection teams and our collection efforts that, as we see that stabilize that will ultimately determine what we will do with the portfolio going forward. But for us to predict that right now, very difficult if not impossible to do.
Brad Thomas: And then, I guess just a question that we've been getting about the business is how to think about the puts and takes on cash flow and liquidity and it's clear that you all are being proactive about making sure you have ability to access your revolver and liquidity. If we were to continue to see the sales running down at this 30% level, I guess could you help us give us some color around what sort of levers you can pull in terms of inventory reduction or perhaps tightening even more so that you don't need cash as much, any more color around that would be helpful?
George Bchara: Yes. Hey Brad. This is George. I think the first thing that’s important to point out is that the liquidity dynamics of our business are different from other traditional retailers and still slow for us and we continue to collect on receivables on our portfolio, but we're purchasing less inventory. So, it actually is a positive -- can be positive from a collections standpoint in short-term. In addition to that, we've taken actions to improve our working capital level and cut expenses. So, the combination of those two things are the reason why our liquidity has basically remained unchanged in the last months since the coronavirus pandemic started.
Norm Miller: And it's an area Brad that we continue to look at from an expense standpoint, from a capital standpoint. Now our stores are open, our collection centers are -- we’re still delivering into homes. Our service teams are still out servicing our products, if they break down. So our organization, although a number of folks who are working remotely from a headquarters standpoint, in the field, our objective here is to get whatever revenue we can to fill the needs from our customers and continue to be able to collect and service our customers. And through that way, we'll mitigate our need to have to take more draconian measures, is our hope on an expense standpoint.
Operator: Thank you. Our next question coming from the line of Brian Nagel with Oppenheimer. Please proceed with your question.
Brian Nagel : Thanks for taking my questions and I appreciate all the color so far. So, I had a few topics I wanted to dive into here. First off, and I guess this is mostly for Lee, we talked about in the press releaseyou’re your prepared the issues with the loan management system. I just want to understand better what happened there? Again probably more importantly, is that issue -- are those issues now corrected?
Lee Wright: Hey, Brian. Good morning. So, just not to go into great detail but add some color. As you know, we implemented two new systems last year, one of which was our loan management system where we made a change. The implementation of that created some difficulties from as we looked at our ability to see and interface with our actual collections system and the visibility we had was more models than we would have liked. So from a nimbleness perspective and ability to act as quickly as we would have liked, we weren't able to do that. That caused some of the issues that flowed through and that we talked about in the call. 
Norm Miller: And those are predominantly at this point, those have been corrected and we have the visibility we need to be able to effectively collect at the rate that we would expect going forward.
Brian Nagel: And the second question, obviously, with the COVID crisis, and there's a lot of different parts of effects. So before we were talking, before the crisis, we were discussing and talking a lot about the dynamic within the TV business. In that the more functional higher priced TVs have come down in price significantly and that really impacted the value sort to say that Conn’s had in that market. Again, lots of going on, but how should we think about that dynamic? Now is that beginning to correct itself through or has this COVID crisis potentially lengthened that issue as TV manufacturers maybe are not introducing as quickly as they could have more functional TVs?
Norm Miller: Brian, what I would say is I don't know if it's lengthened it, it certainly has exacerbated the issue. The related NPD data that was out from two weeks ago was showing ASPs from a national standpoint on TVs for under $300, which it has never -- I mean, that's the lowest point it has ever been. Because as what's happened is, TV units are actually up slightly, but ASPs across the board are down and they're down even at a greater extent at the higher valued TVs, because Walmart, Costco, the big box guys are open, that's where -- and the online. That's where a significant majority of the TVs are being purchased as we sit here today. So in the absence of 8K, which is coming out this year and some other new functions and functionalities TV wise depending on how that plays out with the COVID-19, it gets introduced into the stores, I don't expect that to abate or to improve in the short-term. But we believe longer term this is just a cyclical nature of the TV electronics business. That’s occurred in the past before my assessment would be that the COVID-19 crisis is not going to help us in that area. Our ASP is still over a $1,000, but it's down 20 plus percent, continues to be down 20 plus percent from prior year. 
Brian Nagel: Then my final question, just looking forward, clearly no one knows how long this crisis will persist. But as you think -- you know the business extraordinary well. But how -- I mean assuming that the crisis does abate in the not too distant future, how should we think about the recovery potential for Conn’s both from a retail and a credit standpoint, as the shock headwinds begin to lessen?
Norm Miller: I would say on the credit side, first, there’d probably be more stress in the credit portfolio initially, depending on re-ages and the performance of those customers if the employment comes back relatively quickly. And one of the things about our core customer is, is they make about around $47,000, $48,000 a year and they live in recession all the time, basically, they live paycheck-to-paycheck. And interesting enough, even when we were in the very early stages of the COVID and the shelter in place orders were had not been issued yet, but you were starting to see the immediate pickup in early March, we were already seeing our customers cut back from a tax season standpoint, and reserving cash because they understand how to do that very, very well. And they're very, very nimble in that environment. So, in the short-term, the credit portfolio is what will be -- if we have stress in the business that’s where it will come. We believe ultimately it will create a more opportunities from a retail standpoint as credit gets tightened by those higher end in the spectrum. And now with our full credit offering from GE all the way down to lease-to-own, now me believe it will create more opportunities ultimately from a retail sales opportunity going forward as has been. 
Operator: Thank you. Our next question comes from the line of John Baugh with Stifel. Please proceed with your question.
John Baugh : I was wondering if we could maybe start with John Davis departure. It was an important hire, you built up a team around him. What -- in hindsight I'm just trying to get some color for either what went wrong with his decision making or execution versus external factors, of which there are of course many, to start there?
Lee Wright: Hey, John. It’s Lee. Good morning. Look obviously, I can't respond directly to his resignation. But clearly as I said in my prepared remarks, not happy with our credit performance in the quarter and obviously we increased our allowances. We foresaw future charge-offs increasing and obviously we had a material weakness on the restatement and the operational issues that resulted from that certainly created that, certainly didn't make us happy. So, I mean that's probably the most that we can go into. I think what I would add though is, we did build up a deep credit team, so we do have a team that certainly has been built up and that's why we have been able to make -- continue to make underwriting changes. We continue to make those obviously, and monitor very closely with the team that we have in place. So, you are right. He was very important and he did add value while he was here, but we still have a full team. And obviously, we're actively looking for replacement, and we will continue to go forward. And obviously, I've stepped into that role and working very closely with the team going forward.
John Baugh : And then could you perhaps tell us -- you mentioned losses are up, FPDs are up, delinquencies are up. Is there a way of looking at that and saying how much or all perhaps, probably not, is due to “new customers”, or are you seeing deterioration with existing customers as well? 
Lee Wright: So John, again, as I said in the prepared remarks, obviously, we had higher risk vintages than we had originally originated in the summer, and that was even through Q3. Obviously, we made some underwriting changes in the middle of the Q3. All that takes time to bake as it rolls through and we certainly have seen an increase in new customers. We continue to talk about that and we've always talked about new customers are riskier than existing customers and it takes time to sort of settle them out and make them. From a percent of the overall portfolio at the end of the fiscal year, new customers are 40% versus 38% last fiscal year. And probably more importantly what we even saw in Q4 was new customers were approximately 43% versus last year they were 34%. So, the new customer mix that we saw and as well as a high risk vintages, then I talked about the difficulties in the collection efforts related to the implementation of our loan management system, all three of those things had caused some issues and then you overlay with the COVID-19 situation. So clearly, we're monitoring very closely. We're working through it. I think we've made the right moves from an underwriting perspective to make sure that we are extending credit to is going to pay us back even with some of the COVID-19 issues rolling through. But again, I'll just tell you, we're very focused on monitoring all that.
Norm Miller: Let me highlight two things too if I could John. One is, just to amplify the comments that Lee made, the credit team is in a very different place than it was 4.5, five years ago. The depth of resources, the quality of the team, the sophistication of the team is very different than it was 4.5, five years ago, when the credit business was losing a couple hundred, $250 million. The second piece of it is, the credit business itself is in a very different place than it was 4.5, five years ago. With that, as we move through and in the third quarter saw a 1,000 basis points of spread, and even in this fourth quarter with disappointing performance, still at about 790, 800 basis points of spread we have, part of the reason that I've talked about for multiple years, that 1,000 basis points of spread is to give the company the flexibility during challenging difficult times to weather through things that are outside of our control. And it has put us in a place, even with disappointing results coming out of the fourth quarter to be in a very solid position going forward to weather not only the deterioration of some of the credit performance in the portfolio, but also the COVID-19 pandemic as we weather through that here in the coming weeks and months.
John Baugh: Thanks for that. And then my last question was on the lease-to-own piece which I think was in 6% plus range for the January quarter. As you tightened here again in March underwriting, would we expect to see that funnel increase and be a bit of an offset maybe to the pressure you're seeing. And then likewise, what happens sort of at the high end of your Synchrony piece? Where do you see the mix, in other words, of all the three underwriting buckets?
Norm Miller: Well, I mean, it's still early in the process. What I would say is, we are seeing lease-to-own balance of sale increase. We're also seeing Synchrony increased as well. So on both ends of the credit spectrum, cash and credit is also -- people paying by cash, either credit card is also up initially out of the gate as well. So -- and for us, all of those are like cash customers. So those are very positive from both a cash flow standpoint and a credit portfolio. 
John Baugh: And last, if I can sneak one last one and maybe for George. You mentioned the last month being kind of a breakeven cash flow period. Is there some seasonal unusual benefit from the tax season that makes all the other metrics of your businesses similar and the next month a different cash flow number, or that’s kind of a stable number?
Norm Miller: I don't expect that our portfolio -- that our cash position is going to remain flat here. I mean I think as a general comment and I think you know this John, while still slow for us our business can generate cash. Obviously, we're monitoring our cash and liquidity position here closely and we believe what we've got enough cash and available liquidity to last us here in the near-term.
Operator: Thank you. Our final question comes from the line of Bill Ryan with Compass Point. Please proceed with your question.
Bill Ryan: First question, to what extent if any, have -- some of the states have implemented various collection moratoriums and if that may be impacting your ability to do collections or performing collections? And related to that, there's obviously a -- there’s a lot of deferrals going on, forbearances and various programs that all the credit companies are offering. How has that impacted the way you're recognizing interest income in the income statement? And then the second question is just on SG&A. I think everybody is kind of modeling a little bit north of -- or had been modeling a little bit north of $500 million in SG&A for fiscal '21. You’ve obviously got some efforts to bring those expenses under control and bring it back down a little bit and we’ve pulled down back on your new store openings. How should we be thinking about that number if you can give us a little bit of thought on that going into fiscal '21? Thanks.
Lee Wright: Hey, Bill. It's Lee. So with regard to your first question on states and restrictions or moratoriums on collection efforts, obviously each of the states -- and it's really only a handful who have done that and typically what we have seen at least for the states that we are actively in, it's restricted third-party collection efforts. Obviously, we're a first-party collector. So it really hasn't impacted us much at all to the extent that there is anything, obviously, we're compliant by any of the state regulations or statements that they made out there, but it really hasn't had a significant impact at all on us in particular, but I'm still monitoring closely. 
Norm Miller: Those states that we do pull back we do have some third-party that does collections and in Nevada and states where there has been some impact, it's not that material. We just pulled it back in house and done it ourselves. 
George Bchara: And as it relates to your question about SG&A, obviously, we've gone from opening 16 to 18 stores, to 6 to 8. We incur upfront expenses associated with opening of new stores. So that by itself will reduce our SG&A expense lower than it otherwise would have been. In addition to that, we've taken a number of proactive measures to cut costs. And so you should expect to see SG&A expense lower than it otherwise would have been. Now, obviously, we did not put out Q1 guidance and don't expect to put out full year guidance here. But I think just as a directional sense, that's how we think about it. 
Norm Miller: And what I would say Bill is, we -- this is the timeframe when our next earnings call is fairly close, relatively speaking, because of the year end. So early June when we report for the first quarter, our expectation is we would be able to provide -- even if we're not giving some guidance, be able to provide some direction from a SG&A standpoint on that activities that we've taken. 
Bill Ryan: Okay. And just the final question was related to interest income recognition. Obviously, all financial institutions are granting various waivers deferments, forbearances. Has that impacted or will impact the way you recognize interest income on loans that receive some of those deferrals? 
Lee Wright: It depends on the nature of the concession. As we sit here today extending a loan that’s consistent with some of our policies that we have already, that does not in and of itself change the income recognition on the account.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Mr. Miller for any closing remarks.
Norm Miller: Thank you very much. First, we appreciate the participation, and the investors and your questions and your interest in the company, especially at all times, but especially during these unprecedented times, and we look forward to providing you an update in a couple of months on our first quarter results and performance. Have great day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.